Jonathan Huang: Hello, everyone. I'm Jonathan Huang, Vice President of Investor Relations at MakeMyTrip Limited. And welcome to our Fiscal Year 2022 Second Quarter Earnings Webinar. Today's event will be hosted by Deep Kalra, our company's Founder and Group Executive Chairman. Joining him is Rajesh Magow, our Co-Founder and Group Chief Executive Officer; and Mohit Kabra, our Group Chief Financial Officer. As a reminder, this live event is being recorded by the company, and will be made available for replay on our IR website shortly after the conclusion of today's event. At the end of these prepared remarks, we will also be hosting a Q&A session. Furthermore, certain statements made during today's event, may be considered forward-looking statements within the meaning of the Safe Harbor provision of the US Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance, are subject to inherent uncertainties, and actual results may differ materially. Any forward-looking information relayed during this event speaks only as of this date and the company undertakes no obligation to update information to reflect changed circumstances. Additional information concerning these statements are contained in the Risk Factors and Forward-Looking statements section of the company's Annual Report on the Form 20-F filed with the SEC on July 13, 2021. Copies of these filings are available from the SEC or from the company's Investor Relations department. I would now like to now turn the call over to Deep to begin our webinar for today.
Deep Kalra: Thank you, Jonathan. Welcome everyone to our second quarter earnings call for fiscal year 2022. I'd like to begin today by wishing everyone good health during the ongoing COVID-19 pandemic. On our last call in late July, we shared that India was already seeing a massive reduction in the number of daily new infections since the second wave peaked in early May this year. The good news is that, new daily infections have remained relatively muted with about 16,000 daily new cases on a seven-day average basis. We believe helping to drive this progress has been the dramatic increase in vaccinations since late July, and natural immunity from unreported vaccinations pardon me – from unreported infections during the second wave. As of last week, over one billion doses of the vaccine had already been administered according across the country, which is a significant global landmark. Nearly 300 million of our own citizens are now fully vaccinated, and we expect that number to rise as many will receive their second dose in the coming months. It's encouraging to see that promoting social distancing and use of masks is gradually helping to restore normalcy, which has quickly spilled over to travel demand. As of last week, the Directorate General of Civil Aviation or DGCA had lifted the cap for domestic flights restored domestic seat capacity back to 100%, and done away with many other restrictions. While scheduled international flights remain suspended for now India has implemented travel bubble arrangements with 28 countries, including the US, Canada, the UK, many EU countries, the UAE, Qatar and the Maldives. With declining COVID cases across India starting November 8th, the US will allow fully vaccinated Indian travelers to enter. Similarly, the UK had already relaxed quarantine requirements since October 11. India has also reopened its borders to fully vaccinated inbound tourists on chartered flights in mid-October. Furthermore, all fully vaccinated inbound travelers can now forgo mandatory home quarantine, if they upload a negative COVID-19 RT PCR report conducted within 72 hours of travel helping to further ease the hassle of travel during the pandemic. As for our domestic accommodations business, more than 90% of our top-selling hotel properties are open and actively taking bookings. The availability of hotel supply is helping to serve the strong recovery across leisure cities as we recently registered our highest single day of check-in since the pandemic started. In fact, across many leisure cities, we have now surpassed pre-pandemic room nights booked on our platform. As for our domestic bus business, we've also witnessed a steady recovery in supply with more than three quarters of the private bus operator capacity and about 85% of government operated bus capacity restored entering October. As you can see, we believe that domestic travel is rapidly coming back owing to high vaccinations and low daily new infections. As we sit here today, the team and I are increasingly excited for the prospect of rising travel activity starting with this current festive season and in the quarters to come, especially once more people are fully vaccinated and cross-border travel becomes safe and nearly as effortless as it was before the pandemic. As I've shared before, travel is innate in all of us humans. Our mission is to help facilitate the best possible end-to-end experience for our customers from travel research and booking all the way through to on-trip support to help fulfill this need in the digital age. We hope we've seen the worst of this pandemic and we'll get back close to pre-pandemic domestic demand recovery in the coming quarters. We're even more enthused by the fundamental shift in buying behavior that has taken place during the last six quarters. A recent comment from RedSeer Consulting is predicting that e-commerce users in India will reach 500 million to 600 million by 2030, up from the roughly 150 million to 200 million today. This prediction, which is likely to play out will place India only second to China in terms of the overall size of online shoppers, equating to an expected TAM or total addressable market of $350 billion. We fundamentally believe that the long-term upside for our business remains huge, and we continue to adapt and drive innovations to keep pace with ever changing online traveller's needs. I believe that it is in this relentless focus on customer experience with our brands that will help cement the MakeMyTrip Group's market leadership position in the long run. Now, I'd like to ask Rajesh to share some more color on our fiscal second quarter.
Rajesh Magow: Thank you, Deep. Hello and happy festive season to everyone. I sincerely hope you're all staying safe and healthy during this ongoing pandemic. As Deep mentioned, we are very enthused by this strong pent-up demand seen for travel following the devastating second wave. The good news is the momentum we had seen immediately following peak infections in early May, had continued throughout the reported quarter. Even better news is that the country has so far managed to prevent any flare up of a third wave of infection, thanks to the quick and large scale vaccination program that has seen over a billion doses of approved COVID-19 vaccines administered so far. Throughout much of Q2, we have also seen the gradual and steady return of domestic travel supply to help meet the strong pent up demand. As mentioned earlier, with demand recovery, we were confident of getting back to turning profitable with our optimized cost structure hence declared positive adjusted operating profits in the quarter. As you can see in Q2, we continue to ride the strong recovery momentum that began following the early May infection's peak for the lean travel quarter when compared to the same quarter a year ago we managed to achieve nearly 2.6 times the volumes. In segments in our air ticketing business, nearly 4.8 times the volumes in room nights in our hotels and packages business and nearly 2.9 times increase in volumes of tickets within our bus ticketing business. When compared to the previous quarter we managed to achieve nearly 2.5 times the volumes in air ticketing, nearly 2.8 times the volumes in hotel and packages and nearly 2.1 times increase in volumes of tickets within bus. This was achieved as the country did not fully shut down during the second wave and as the business recovery momentum seen in June continued sequentially all throughout Q2. Now allow me to provide some current quarter-to-date trends by line of business. Starting with domestic hotel and packages, which is seeing an 80% recovery in October so far. Today, nearly 90% of domestic hotel room capacity is open at our top selling hotels, which includes virtually all chain hotels across the country. While the early phases of recovery, was driven by the higher end branded hotels and to drivable leisure destinations, we are happy to see that the domestic recovery is now broadening out to include budget hotels, business destinations and flyable leisure destinations. In addition, we are seeing domestic room nights booked at all major chains on our platform growing year-on-year, and also seeing business in many leisure destinations have either fully recovered or exceeded pre-pandemic levels of volumes. As for our alternative accommodation business, in October, we've seen recovery of nearly 85% when compared to the same month pre-pandemic with bookings at villas significantly higher than pre-pandemic. Following the peak of second wave, our team prepared for further expected pent-up demand for domestic travel. We launched the Luxe Hotels collection by curating and offering customers over 250 ultra-premium hotels and enhance the listings content to drive better conversions. We also launched Luxe packages with these premium hotels to offer special amenities and features to enrichen customer stay experience. As for brand Goibibo, we improved the location and points of interest to help customers find hotels easier. Within the booking funnel, we introduced travel insurance to aid in cross-selling. Similarly for our alternative accommodations experience, we improved the discoverability of properties with a new landing page in our dedicated home stays funnel and introduce a new entry point within our main hotels funnel. Now let me share some of the highlights from our air ticketing business, where the market's recovery of passengers flown now stands at 63% versus pre-pandemic peak in January of 2020. As expected, the domestic air market had steadily improved as demand for travel sharply returned in line with the containment of new infections. Even more encouraging is that on a booked basis, October, months to-date, we are seeing a 90% recovery so far, indicating the strong travel demand for this year's peak travel festive season, where we are seeing top sectors booked like Delhi-Goa, Mumbai-Goa and Hyderabad-Goa, all exceeding pre-pandemic levels already. Naturally as the clear market leader, our performance outpaced market, as we have logged a 72% recovery so far in October on a daily flown basis, while international, outbound flights are still fairly restricted, we have also seen traction in destinations that have opened to vaccinated Indian travelers. We expect as more countries open their borders, outbound travel will once again be a fast driver of growth for our air ticketing business. In the meantime, during Q2, we continue to enhance our shoppers experience by introducing a quick book feature on Goibibo's mobile website. Furthermore, we continue to broaden our offerings with armed forces, student, senior citizens and other special fares. We also launched a 100% refund policy to travelers who are tested positive for COVID-19 and also enable the upload of vaccination cards into our apps, making transit a bit more effortless. We also recently announced our partnership with Hopper, one of the top travel booking apps in the US for flights, hotels and car rentals to help travelers save money with personalized recommendations and flexible booking capabilities. Through this partnership, we aim to further enhance the flight booking experience by boosting our recently launched Price Lock feature, Hopper's Price Freeze Technology will power MakeMyTrip's Price Lock feature and enable customers to lock-in flight fares for up to seven days while they are in the process of firming up their travel plans. Now I would like to share an update on our redBus business, where recently in late October, we've seen a recovery of about 70% of pre-pandemic levels with some regions like Eastern and Northern parts of the country, seeing 130% and 90% recovery, respectively. Today, nearly 75% of all private bus operators and 84% of government and regional transport corporation operators supply back online. During the quarter, we worked closely with multiple operators, leveraging our real-time demand data to help them add the right inventory on key routes to better optimize resources during the ongoing recovery. Within the bus ticketing business, we also witnessed first-hand the rapid digitization caused by pandemic, which has helped us gain new customers. Lastly, we had previously announced Primo, the program for top-rated bus operators to showcase their on-boarded services. I am glad to announce that today we have more than 800 buses co-branded as Primo buses on the road across India. Naturally, we have also seen great amount of interest and bookings for this experience from our user base. Now I would like to move on to share an update on our other ground transportation business, which includes rail ticketing and cab rides. During the second quarter, our standalone other ground transportation business also recovered to 85% of pre-pandemic levels and has also helped contribute to nearly 25% of overall new users to our platform. Within our intercity and airport transfer cabs business, we have reworked the funnels functionality to offer greater categories of cabs and vendors, introduced premium cab offerings with standardized amenities and trained drivers. As for our rail ticketing business, we also launched trip guarantee bookings, which offers a three times value, back to customers in case the desired rail ticket remains unconfirmed, allowing them to book last minute and more costly alternatives like flights, cabs or buses to undertake their journey. Given the early successes, we have seen for this product on MakeMyTrip, we are now rolling it out to Goibibo users as well. Additionally, the free cancellations feature available with rail ticketing offers, greater flexibility to customers to cancel rail tickets in the last minute, if they wish to without paying high penalty charges. Lastly, we're seeing good traction on corporate and SME travel revival. In fact in October we've seen nearly full recovery versus pre-pandemic, helping to drive the strong recovery is the conversion of our new accounts pipeline during Q2, as the team acquired nine new large enterprise accounts, 201 new mid-sized accounts, and 385 new SMEs, helping us to surpass pre-pandemic levels of active customers using our services and reach an all-time high inactive accounts in September. We continue to see industries like e-learning, real estate, biotech, and IT services making a full recovery in corporate travel relative to pre-pandemic days, as clients see the need to deploy their sales team for in-person client meetings. As you can see, we are excited to see the very fast and strong recovery for travel demand as shown in our results for Q2 and continuing into the festive season of Q3 so far. Going forward we plan to continue to position our products and experiences to capture this inevitable pent up demand for travel whether leisure or business and leverage our optimized operating costs to retain and expand our market leadership in the years to come. With that, I would like to hand the call over to Mohit, to share more color on our financial results in Q2.
Mohit Kabra: Thanks Rajesh. Hello everyone. I hope, you're all staying safe and healthy. We report the first full recovery quarter following India's highly infectious second COVID wave in April and May earlier this year. It's a good solace to see that the travel recovery as anticipated has been stronger than the pace of recovery experienced, post the first wave of COVID during similar period last year. Ever since the onset of COVID pandemic last year, our focus has been on tight cost control during the ongoing journey to full business recovery. And as a result of our cost rationalization efforts, during the last six quarters, we have been able to significantly bring down fixed cost and also build efficiencies in variable expense – like, marketing and sales promotions. The highlight of this quarter, is that with approximately just about 50% business recovery, compared to the same quarter of pre-pandemic fiscal year 2019 and 2020 we were able to deliver adjusted operating profits of about $6.6 million. Adjusted for the non-cash depreciation and amortization expenses the adjusted operating cash profit is about $10.5 million, for the reported quarter. Total gross bookings are over $734 million, but nearly at the same level, achieved in Q4 of FY 2021, just before the second wave of pandemic hit us in India. Gross bookings have increased by over 243% year-on-year in constant currency terms and increased by over 156% on a quarter-on-quarter basis, thanks to the strong business recovery post the second wave. The recovery versus the same quarter of pre-pandemic fiscal year 2019-2020 is about 49%, what is encouraging is, that the exit recovery rate in September 2021 was stronger at 62%. Moving on to our business segments; air ticketing adjusted margin stood at about $38.6 million, representing an increase of over 3.2 times the level achieved during the same quarter a year ago and more than doubled from the previous quarter in constant currency terms. Our sustained strong market share in the domestic air ticketing business continues to help us as this line of business has proven to be a lot more resilient when compared to other travel services during the initial recovery phases post the pandemic waves. Our market share in domestic flights continues to be close to 30% of all tickets booked. The September exit recovery in domestic air segments compared to the same quarter of pre-pandemic fiscal year 2019-2020, stood at about 68%. We are hopeful, that domestic air business will get to full recovery, by the end of the next quarter or by December 2021. The adjusted margin for our hotels and packages business increased to $35.5 million in Q2 which is 6.4 times the adjusted margin achieved in the same quarter a year ago and nearly tripled the adjusted margin achieved in the previous quarter in constant currency terms. The September recovery exit compared to same quarter of pre-pandemic fiscal year 1920 stands at about 60% and we are hopeful to see a full recovery by the end of this fiscal year. As for our bus ticketing business the quarter's adjusted margin stood at over $7.9 million and represented a 3.2 times improvement from year ago levels and double the adjusted margins achieved in the previous quarter. Lastly the adjusted margin in the other businesses were $4.4 million representing an year-on-year improvement of recovery of about 1.4 times and increased by over 75% over the previous quarter in constant currency terms. During the reported quarter, while we continued to invest behind gaining share in the rapidly recovering travel market, we also witnessed operating leverage kicking in from our optimized fixed cost structure helping us to return to positive adjusted operating cash profit for the quarter. As for fixed costs our adjusted personnel and SGA expenses came in at $30.2 million which is a slight increase of over $2 million compared to the previous quarter, but still significantly lower than the same quarter pre-pandemic fiscal year 2019-2020 expense number of $46.7 million. During the quarter our marketing and promotional expenses stood at about 5.4% of gross bookings compared to same quarter pre-pandemic fiscal year 2019-20 when it stood at about 9% of gross bookings. With the rapid scaling of vaccinations and medical infrastructure post the learnings from the second wave, we believe we could see a full domestic travel recovery well before the end of this fiscal year. We hope to see gradual relaxation in international travel, post the festive season in India if the infections remain under control. In the meantime, we continue to focus on maintaining strict cost discipline while making the right long-term investments toward business recovery. We believe, our cost optimization efforts along with improving market shares and best-in-class customer experience with three strong brands have laid the foundation for the next cycle of profitable growth for the group. While redBus continues to be the leading bus brand with potential foray into all forms of ground transport services, both MakeMyTrip and Goibibo continue to be the top two leading OTA brands based on gross bookings or registered margins or OTA margins as you may call in the Indian travel market. With profitable operations at even 50% of pre-pandemic levels, we believe that MakeMyTrip Group is very well poised to ride the ongoing recovery in India's travel industry in the quarters to come with its leading OTA brands and bus brand, as well as the balance sheet strength of about $0.5 billion in cash and cash equivalents. With that I would like to turn the call over to the operator for Q&A.
A - Jonathan Huang: Hi Gaurav. Please carry on with your question.
Gaurav Rateria: Hi am I audible?
Jonathan Huang: Yes
Gaurav Rateria: Hi, congrats on a great set of numbers. Couple of questions the first question is, would like to better understand how has MakeMyTrip's competitive positioning changed within the budget and the alternate accommodation markets, where penetration rates maybe much lower? I understand that the large chains and the mid-segment is a sweet spot that MakeMyTrip has, has always been the case, but within the budget and alternate accommodation how has the competitive positioning changed compared to the pre-pandemic?
Rajesh Magow: Yeah, hi Gaurav. Maybe I can take that. Gaurav as far as alternative accommodation is concerned, as you know the story has been actually very, very positive both on account of the new consumer trend sort of emerging in a big way where the preference was also to go in for secluded accommodations just more from a safety standpoint and so on. And on the other hand, also on the supply side, so we've been ramping supply on alternative accommodations all through and in a much more accelerated fashion from the pre-pandemic levels given the fact that a lot more properties are now, sort of, coming into the supply ecosystem. So it's been a great story so far on both the accounts even with respect to competitive positioning in the market, you know, from our growth standpoint in that segment, we are already doing similar to -- from a recovery standpoint almost close to the same numbers on a run rate basis that as you know if we compare that to the pre-pandemic level. So we are quite happy as we had also called out in the past that we were investing behind in this segment in any case for the last couple of years in terms of just product experience enhancement, we also launched a dedicated funnel as we pointed out as well as the supply ramp up. So all-in-all the story is very positive and we are quite optimistic even in the future this segment is going to grow and we will -- we are going to definitely have a very strong position in the market with respect to this segment. As far as budget is concerned as compared to the last quarter where the recovery was mostly led by the chain hotels the premium category hotels even the super-premium category hotels this quarter that we're reporting out and as we see and even in current month, the budget segment also seems to be now recovering nicely with all the demand segments, which are sort of -- which focus on more budget segment category of hotels and accommodation be it students slowly, and gradually also the small and medium enterprises who almost like from a consumer behavior standpoint behave like the retail customers. That's also beginning to come back as we were sort of alluding to earlier. So definitely much better position to what it was in the previous quarter and in the coming days and weeks and quarters it is only going to, sort of, go back to normal.
Gaurav Rateria: Great, Rajesh. Second question for Mohit, specifically, and Mohit alluded in his comments of next cycle of profitable growth so with the optimized cost structure and further improvement in recovery rates and business do we expect to stay profitable in the near-term? And secondly, how should one think about the capital allocation given such strong balance sheet we have? And we are already turned profitable so any capital allocation strategy in the new areas of investment use of cash that will be helpful? Thank you.
Mohit Kabra: Hi, Gaurav. Right to the pandemic like you have been saying that kind of hit pretty much the target of being in the plus or minus $10 million kind of range on profit by the quarter depending upon the what's the state of recovery and we've already seen two waves of the pandemic. If you look at the last fiscal year which was significantly impacted by COVID despite the first half being almost like a wash-out, we were able to kind of bounce back pretty strongly in the second half and eventually it kind of turned out to be a cash break-even year for us on an operating basis. This year -- again this fiscal year the first quarter was significantly impacted by the second COVID wave. But again our cash operating losses were just shared below $5 billion so we were able to kind of keep it in a very tight range. And as you have seen some part of recovery shaping through about 50% recovery from pre-pandemic level and we have already seen kind of, profitability come through in measure. So I think we'll kind of -- our expectation is with the kind of vaccination that has kind of gone through and the resilience which has been shown in terms of the infection rates being contained despite say for instance the festival season in some parts of the country during Ganpati et cetera. We are hopeful that we will not see a significant rise in infections and if that kind of holds out, hopefully the next quarter which is also a otherwise a better travel season quarter considering it coincides with the winter vacations et cetera, we could see recovery kind of strengthening here onwards. And, therefore, we believe we should pretty much now remain on a profitable track unless there is a significant disruption from the pandemic side. So that's, kind of, the first part of your question. Coming to capital allocation, again, like we've been calling out no real big plans in terms of a larger consolidation opportunity that we're, kind of, eyeing at, we'll continue to remain on the lookout for small niche investments. We have already called out certain areas of growth, say, for instance we have called out forayed into the alternative accommodation study business and actively looking at scaling up that part of the business, we are actively looking at scaling up the entire ground transport business. We're looking at getting into existing markets like GCC where we've already done a soft launch last year, and it's getting better and we're also looking at the redBus business being taken to some of the international locations. So these are broadly the, kind of, areas of growth and accordingly the areas of investment as well, but no significant plans as of now, which are finalized.
Gaurav Rateria: Thank you so much.
Jonathan Huang: Next question comes from Vijit Jain of Citigroup. Vijit go ahead with your question please.
Vijit Jain: Okay. Hi. Can you hear me?
Rajesh Magow: Yes Vijit.
Vijit Jain: Yeah sir. Hi. Congrats on a great set of numbers. I have a couple of questions from the A, on the domestic slide side, did I get, Mohit, right your market share in there is about 30% on a booked basis?
Mohit Kabra: Yes. Vijit you are right. The market share actually standout is given out more on a flown basis because DGCA numbers are on flown basis.
Vijit Jain: Right.
Mohit Kabra: But it won't be much of a difference between flown and booking item.
Vijit Jain: Right. So it does look like you gained market share in the flight business, because your number before this quarter used to be around 27%, 28% odd levels, right, so pretty decent jump in market share in that. Is that understanding correct?
Mohit Kabra: Yeah. I think we have market share -- go ahead Rajesh.
Rajesh Magow: Yeah. I was just going to add, Vijit if you compare it with the pre-pandemic level, actually it's a gain of about three percentage points, it used to be about 26.5%.
Vijit Jain: Right. And -- thanks for that Rajesh, and the second question is specifically on the train side, now is the train booking business shifting significantly away from IRCTC in your opinion in the sense that direct booking on IRCTC moving from that to OTAs and has that accelerated during the pandemic in your view? And second question related to that, if you can talk a little bit about product development on the train side, I know you've talked about it in brief but a little more color there?
Rajesh Magow: Yeah. So Vijit on the train, if you really overall analyze even during the pandemic and even pre-pandemic and then there are reasons for that, and I can talk about that in a bit, but just to talk to you about the trends on the share shift that might be happening, the question that you asked, I would say to some extent I won't say to a great extent. The reason for that is just twofold. One, overall IRCTC continues to be behemoth in that sense, right. I mean, they are the only supplier. And second, more importantly even on the product experience, it's not necessarily a level playing field, it's effectively you have to just go through the IRCTC login still. So no matter what you end up doing, you would definitely be able to move some sort of -- you would be able to grow on rail segment, which is what we've been also able to grow, but not necessarily I would say that the share shift has moved at a rapid pace from IRCTC given the level playing field on the product experience side, kind of, an equation. Last numbers that I saw, they continue to be at sort of 85% of the online share and rest all the players in the market put together would be about 15% of the online market. And largely rail has moved online, because there's hardly any offline through the traditional travel agents that sort of happens. So, that's as far as the share shift is concerned. Sorry, Vijit, what was your second question?
Vijit Jain: Yeah. Just on the product side and the rail business, I know you spoke about something very briefly about trip guarantee. So, just a little bit of color on that because I don't think I understood that completely.
Rajesh Magow: Yeah. Sure, happy to. So basically what we're trying to do here is, see while I told you about the transaction share shift, we continue to keep getting a lot of traffic on rail. So the people will come in and the reason for that also is that we have on our platform the railway information system, so a lot of the customers where there would be overlap or even the new user, they would come in for not only transactions, but also checking the PNR status and various other things, just on the railway's information systems standpoints, so we get a lot of traffic. So, the idea was to convert their traffic into a transaction and how do we do that? And one of the -- given that we are a comprehensive travel platform with all the products available -- the other alternative transport options, we thought it might be a good idea for the waitlisted candidate, for example and there is a huge number of waitlist tickets that happened on rail as you know, that if there is a cancellation or if even if the customer wants to -- last minute sort of -- the cancellation happens because he has not the confirmed tickets, we're saying that we should be able to give you an alternative mode of transport, right, where the value could be on an average basis, maybe 3x, where you will be able to pick up an alternative transport. Now, alternative transport could be a flight or it could be a cab that you can do. The idea here is from a consumer standpoint and saying, listen, you will be able to complete your journey and not be disappointed with that. At the back end, the way it works is that, this is basically a data science modeling behind the scene, that we've seen based on the data and data on cancellation trends et cetera, how would -- just from a model standpoint would work, and we've seen good sort of early results on that and that's the reason why we are trying to make this popular.
Vijit Jain: All right. Thanks Rajesh. So Rajesh, just one question, one final question on the train side. So, I think you mentioned you're getting 25% of your new customers from this funnel...
Rajesh Magow: Of the new users. Of the total new users, about 25% are coming through the rail, yeah.
Vijit Jain: Okay. Got it. And so just one final question from my side, on the Hopper deal that you've done for cancellation protection, I think, a fair lock in, right? Can you talk a little bit about what the initial uptake for that has been? I know it's still early days, but...
Rajesh Magow: Yeah. Sure. It's actually very encouraging. See, if you would recall that this -- we already had this feature, we had built our own product based on our obviously data -- our own data and the modeling on top of it, and we saw quite encouraging results on that early days. Now, in between the pandemic, the disruptions are happening so therefore it was a bit of an up and down, but we had seen decent early traction on that from a consumer point of view. In fact, reaching out to consumer, we also tested the product out there and we got very encouraging and positive response from the consumers as well. And therefore, we thought it would be an interesting idea to sort of further strengthen the product offering with Hopper, given the fact that they have also done a great job in terms of -- in their own market in the US, in terms of scaling that up and with that thought, we thought we will come together and sort of further strengthen this whole offering, leveraging and comparing notes between the two; our own learnings from our own product, behind the scene, the way the modeling works and similarly sort of learning from their -- learnings from their respective market as well, and trying to come together and make the product even more stronger.
Vijit Jain: Got it. Thank you, Rajesh. Thank you. Those were my questions.
Jonathan Huang: Next question comes from Ashwin Mehta of Ambit. Ashwin, please go ahead with your question.
Ashwin Mehta: Hi thanks and congratulations on good set of numbers. Rajesh one question in terms of consumer behavior especially on air ticketing and hotel so in terms of people planning say short-time frame bookings versus planning over a longer time frame have you seen a change in terms of pattern given that the COVID infections have fallen? How would it kind of compare with quarters that have gone by?
Rajesh Magow: Yes. Thanks Ashwin and a good question. Yes, you're absolutely right. Till now -- till the last quarter it was very it continued to be very last minute. In fact it became even more sort of last minute just from a consumer behavior standpoint, there was hardly any trip planning happening because even during the weekdays or weekends the trend was that given the fact that you had the flexibility to operate from remote location as well that you would just suddenly decide and then sort of check in in a place where you can also operate and maybe have some relaxed time as well. Now, in the quarter that we are reporting out and more so even in the current quarter that is beginning to change and that is really a good sign. In fact the sign of sort of some -- in some sense normal behavior coming back where the advance purchase window has now improved. So, there is a bit of a planning beginning to sort of happen definitely for the leisure segment where now customers have started to plan in advance and one of the reasons for that also is that as the market is recovering, the fares have started to firm up as well. So, when the moment that sort of news goes out then it also triggers the advance purchase behavior and we've already seen that happening like we are seeing like winter season bookings happening, around the New Year booking happening, around the Christmas booking happening now, which is pretty longer AP and also very close to what it used to be pre-pandemic. So, clearly, there is improvement. I won't say that we've reached to a level of completely all segments put together the same sort of trip planning or the advance purchase behavior as pre-pandemic, but clearly improved from the last quarters.
Ashwin Mehta: Okay, fair enough. The second question was in terms of hotels where you talked about that even budget hotels are starting to come upstream in terms of booking, so in that light, do you think the net revenue margins and take rates starts to move up for us? You've historically been in the 22%, 23% range as well. So, how should we look at that in a scenario where budget starts to come in?
Rajesh Magow: Ashwin on the margin, in fact, even if you go back in history, our longer term outlook has been in the range of 18% and thereabouts in any case. I mean you might get because of one reason or the other and sometimes it's sort of supply side upside also sometimes you end up getting in a quarter which could look higher than the number which was the case I guess in the last quarter. Last quarter the gross take rates were actually pretty good both for air segments as well as hotel packages and then that hotel and packages was not necessarily driven out of the budget segment. So, those kind of aberrations might play out, but I think from a long-term sustained basis margins, we should just keep around the same sort of range that we've reported out around the 18% mark kind of number plus or minus is going to be the general outlook on the take rates.
Ashwin Mehta: Okay. And just the last question in terms of alternative accommodation I might have missed that number, where are we in terms of number of properties and how do we compare with competition across say the large guesthouses and service apartments?
Rajesh Magow: Yes sure. So, we've been ramping up that inventory as I mentioned so in terms of number of properties, we would be close to approximately about 30,000 properties now, and catching up. And it's hard to sort of just compare and see the actual number of property counts on the competition, because of the fact that sometimes these are -- the way these properties get, listed not necessarily sometimes one unique sort of SKU if you will, just using the sort of other commerce industry term equivalent, because of the fact that sometimes these properties get sold as rooms only and sometimes like a full all room villa. But from our sort of overall comparison standpoint, I think, we are right up there in terms of just the number of properties that are out there, and we continue to keep ramping up. So from a -- the other lens to sort of see the way we look at it is, the sufficient inventory available for pretty much every city and destination that we are focusing on, which is the way we always looked at it even from a hotel inventory ramp-up standpoint that there should be enough selection and choice for the customer for any destination where there is alternative accommodation available. So, from that point of view, we are like more than covered now, but we will continue to keep it sort of further expanding as we see opportunities out there.
Ashwin Mehta: Okay. Thanks, and all the best.
Rajesh Magow: Thank you.
Jonathan Huang: Last question comes from Manish Adukia from Goldman Sachs. Manish, please go ahead.
Manish Adukia: Yes. Thanks, Jon. Hi. Good evening team. Three questions from me. Firstly, just wanted to specifically get your -- get some color on competitive intensity after Cleartrip's acquisition of Flipkart. I mean, in the last few months, have you seen any change in on-ground competitive intensity since that has happened? And if you were to, let's say, just pick one competitor out there be it, like say, Cleartrip, or a Booking, or an ixigo, whoever in your view, which is the competitor that you are, let's say, most wary of or most closely watching out for, if let's say, competitive intensity were to worsen over the next few months or quarters, so that's probably my first question.
Rajesh Magow: No, interesting question, Manish. So, first part of your question. So have we seen activity going up on Cleartrip? We saw some activity going up, and that was, I guess, combined or clubbed with the overall sort of the sale events that they do, typical Big Billion Day and stuff like that, and that's limited to domestic flight activity. And frankly, even before Cleartrip also Flipkart used to do it, so it's not that they have done it for the first time, because at that point in time somebody else was powering their flight use case. And so from -- if you compare it with that, I don't think there was anything dissimilar that they ended up doing it this time around. Now as far as your second part of the question is concerned that which is the competition that we would be wary of? So, frankly, if you look at the competition around and some part of the competition is always healthy as we all know, I think, it's just highly fragmented at this point in time. So -- and it might differ from a segment-to-segment standpoint as well, given the fact that we are a comprehensive travel platform for a hotel and packages segment, or let's say, for the hotel segment first will be a completely different and more like the global sort of OTAs, whether it is booking.com and mostly maybe booking.com and in the alternative accommodation it could be Airbnb, that one could sort of also learn from and as against only sort of watching them. Of course, you compete in the marketplace, but these are big sort of successful players in the global arena. You also learn from their competition and get inspired. And similarly on the other transport segments that you'll see it now for the bus segment, for example, we don't really have, I mean, if there is competition, but there's competition in maybe horizontal use case in one or two cases maybe the distant really distant second, third position, but pretty long-tail competition if you will. And as far as domestic flights market is concerned, and we've already spoken about our market share in that market again, there are like now there may be an ixigo there is EaseMyTrip there is maybe third one, it will be very sort of divided and fragmented and for the rest of the market, so I guess that's the way we sort of look at it and one thing that I think we've always followed that we will watch the competition carefully, but we are not necessarily sort of deciding our strategies because of the competition. So strategies as a market leader, we always will have -- try to have our own strategy and hopefully on all the times would be thinking ahead from anyone else in the marketplace, so that's the way we sort of think about this.
Manish Adukia: Thank you so much Rajesh, very helpful. My second question is just on the shift to online; you've talked about in the Air business where now the market share is 30% on an overall basis, probably some of it are also due to the shift in online, but if you can talk about the hotels and the bus business in particular where online penetration at least pre-pandemic used to be in the sub-20%, so is there anything to suggest in the data points or anything your own sense that during the pandemic there's been like a pretty rapid shift to online in the hotels and buses segment which in your view could potentially stay as demand recovers. So anything or any color you can provide on that?
Rajesh Magow: Sure. And this number will come out as we get back to completely normal state and we would know exactly how much penetration have gone up, but if there is our own wallet share increase an indication? Definitely online penetration has gone up. There's no question about it. I mean, it's going to mirror the way it has picked up in any other categories as well not products or services. It is going to be a lag effect because the travel is recovering because there were restrictions in place. So as it recovers, definitely online penetration would have accelerated. Now specifically to quantify by what percentage point, I think we'll have to get back to an overall normal situation for us to be able to sort of call that out number, first of all figure that out number from the marketplace and then call that out number, but definitely would have increased. It was -- if I may bring in the old data point here which was the Google BCG report pre-pandemic maybe a year before pre-pandemic where there was a prediction of this penetration going to 30% by 2023 or 2024, if I'm not wrong. I think the -- we may have been either come close to about 25% or thereabouts or getting there. But we will I guess with more certainty, we will be able to see and calculate and know when the whole market is sort of back and which is -- my sense is fingers crossed on the third wave in other couple of quarters.
Manish Adukia: Got it. That's helpful.
Deep Kalra: Just wanted to add one point to what Rajesh said. I think Manish, we can use two different surrogates here, while it's very hard to get an exact number like Rajesh just said, but I think one of the surrogates which is worth using is the doubling of the size of the e-com market already. So I think now there's consensus around the fact that 110 million buyers is probably in excess of 220 million and 230 million already, some people suggest 250 million and growing, so that's I think a pretty good surrogate. It's across the board. It might be more pronounced in some sectors and less, but as we also go pretty much across the spectrum with some pretty low value products right from rail and bus tickets going all the way up to international, I think we'll get the benefit of that. And the second one, I think is very clear that one of the biggest hurdles that people faced pre-pandemic was trust and belief in online payments, that has been completely, I think crossed -- really crossed the threshold out there, where people have used online payments for the first time whether it was to order something, or to order a meal and I think that again will give a lot of benefits. So I think there was never an issue on the shoppers and the researchers. It was on the buying side, so really the last step of the funnel, which I think early indications, we've actually seen appreciable number of new buyers come in on certain segments. So post the second wave and we saw opening up on the bus segment particularly redBus, saw a pretty large number of first time buyers come in. We're seeing the same through our vernacular platforms now, so it's pretty interesting and yeah I think a conservative would be anywhere north of 50% 60% and hopefully even 100% more buyers ready to buy.
Manish Adukia: Thank you so much, Deep, for that color. Just last question from me, if I may advertisement revenues has started becoming a focus area for the company over the last couple of years, but on an absolute basis obviously, quite small right now, now we globally see for at least e-commerce companies advertisement revenue at a proportion of GMV can be anywhere between 1% to 2%.  When you think about MakeMyTrip as a platform, is there any reason where let's say over a three-year to five-year period let's say 1% to 2% of your GMV, can't be advertisement revenues? I mean is that something like, how do you think about the runway for the advertisement revenues is what I'm trying to understand.
Rajesh Magow: Yeah, Manish, so I think that is the reason why we had sort of started this initiative as well and we've again got very, very encouraging early trends on that. Now, directionally long-term, now whether it is three years to five years or more, we don't know because we're sort of -- we still have to make certain investments in this platform, which is in the pipeline and they'll come up in the next quarter or so for us to be able to see the real potential of that. But if we -- when we got into it from a benchmark standpoint, that's the way we were thinking that this could be the ultimate potential. Now from our point of view, I think we will have to just wait for another quarter or two, for us to be able to then see. See right now we are just within the travel ecosystem we're trying to see we also have to see how does it work for non-travel ecosystem etc. And once we're able to do that, so far whatever we have launched and whatever we've seen we're very encouraged with that. And directionally, I think it's going to go down that direction only but I think with greater certainty to pinpoint whether it's going to be an x percentage or y percentage of GMV, I think I'll hold on to that for a couple of quarters before one could call out that number.
Manish Adukia: That's very helpful. Thank you so much for answering all of my questions and all the best.
Rajesh Magow: Thank you, Manish.
Jonathan Huang: Ladies and gentlemen, that concludes our webinar for today. Thank you for joining. If you have any follow up questions, please feel free to reach out to any of us and you may now disconnect.
Rajesh Magow: Thank you.
Deep Kalra: Thank you, everyone.